Alexander Bergendorf : Good morning. This is the Axfood First Quarter 2025 Telephone Conference. And with me today are Simone Margulies, President and CEO; and Anders Lexmon, CFO. In the Investors section of our axfood.com website, you will find the presentation material for today's call. We encourage you to have that presentation at hand as you listen to our prepared commentary. After the presentation, we will be taking questions. And a recording of this call will be made available on our website. I will now hand over the words to Simone. So please go to Page number 2.
Simone Margulies: Thank you, Alex, and good morning, everyone. With a focus on the customer meeting and further volume growth, we continue to strengthen our market position in the first quarter of the year with Willys, Hemköp and Snabbgross. We reported a stable earnings performance and maintained a high level of activity in areas that are strategically important for increased efficiency and market presence. A number of activities have also been initiated to strengthen City Gross, which we acquired on November 1 last year. In terms of logistics, the productivity of our recently completed logistics center in Bålsta is continuing to improve. And now we have also initiated plans to expand capacity and efficiency in the southern parts of Sweden from 2030 and onwards. We will, of course, cover all these areas in today's presentation. But first, let us turn to Page 3 and today's agenda. I will start with a brief market overview, and then I will give you a review of our first quarter performance and strategic agenda. Following that, Anders will take you through the financials. And lastly, just a brief summary from me before we open up for questions. Turning to Page 4, but let's go straight to Page 5 and take a look at the developments during the first quarter. Food retail market growth was 1.9% in the first quarter. Growth was impacted by a negative calendar effect of minus 2.3% given leap day last year and also timing of Easter. Following a period of low inflation, Statistics Sweden reported that food price inflation was once again on the rise in the first quarter, reaching an annualized rate of 3.8%. This is due to various global factors, including shortages in the supply of raw materials, climate change and geopolitical turbulence. Adjusting for calendar effects and inflation, market growth amounted to 0.4%. Growth in Axfood's retail sales amounted to almost 16%. We clearly gained market share, and that holds true also if we exclude City Gross, as the adjusted growth was 3%, driven by a positive trend in customer traffic and increased volumes. Retail sales growth over a 2-year period amounted to 24%, almost 3x the rate of the market. Also here, our growth, excluding City Gross, exceeded that of the market. In e-commerce, growth amounted to 4.1%, which compared to market growth of 2.2%. Excluding City Gross and the discontinued business Middagsfrid, our sales were on par with the prior year. We are now on Page 6. Growth in consolidated net sales amounted to almost 4% during the first quarter and despite the negative calendar effect. Higher volumes in Willys, Hemköp and Snabbgross was the main driver behind this. Sales in City Gross amounted to just over SEK 2 billion. On a group net sales basis, the contribution from City Gross was SEK 290 million or just over 1% due to internal eliminations in Dagab. So please go to the next Page number 7. Group operating profit amounted to SEK 719 million, and the operating margin was 3.4%. Operating profit includes items affecting comparability of minus SEK 38 million related to City Gross. Adjusted operating profit, which excludes items affecting comparability, amounted to SEK 757 million, and the adjusted operating margin was 3.6%. Operating profit in Willys and Dagab increased, while profits in Hemköp and Snabbgross declined somewhat. City Gross had a weak start of the year, and I'll get back to this development shortly. The Axfood Group adjusted operating profit, excluding City Gross was higher than in the prior year, and the corresponding operating margin was unchanged. We maintain significant focus on productivity and cost efficiencies. With our structural investments in our operations, we have a solid foundation for operational excellence. And during the first quarter, we also initiated work to improve efficiencies in our support functions across the group to further increase our competitiveness. Let's go into a little bit more detail, starting with Willys on Page 8. As I just mentioned, sales growth for Willys was strong in the first quarter at 3% and clearly above the rate of the market. In addition, Willys is back to earnings growth as operating profit increased compared to the prior year and amounted to SEK 495 million, which corresponded to a flat operating margin of 4.3%. The higher profit was mainly driven by increased volumes, a stable gross margin development and good cost control. Turning to Page 9. Willys is Sweden's most recommended grocery chain and holds a unique position of the market. Growth in the first quarter was driven by positive trends in both customer traffic and loyalty. In total, the amount of members in Willys Plus loyalty program increased 5.1% year-on-year on a net basis to more than 3.8 million. In terms of loyalty, the number of members making a purchase also increased 3.4% year-on-year. So strong trends in both attracting new members and increasing the number of active members. We also see even stronger brand perception as measured by consumer consideration and preference. We have shown these charts before, but they are worth showing again with updated figures as these metrics really display how strong the Willys brand is among consumers. We are now on Page 10. It is evident that price value and low prices are still very much in focus for our customers. Just over the last few years, these factors have really become top of mind for people when deciding which store to do their grocery shopping in. Price value even surpassed location as the single most important factor a couple of years ago, a historic change, which is still true today. The discount segment has been the market's fastest-growing segment for a long time. And in terms of the demographic profile of shoppers, there is a clear preference among younger customers and families with children, and we interpret this as a good sign for future growth and potential. In addition, the discount segment is still relatively small in Sweden when compared to markets in many other countries, so to put this into context for Willys, we see considerable possibilities to continue expanding the chain, adding more stores at a rapid rate. Let's turn to Page 11 and the Hemköp segment. With an attractive offering in the traditional grocery segment of the market, Hemköp also performed strongly in the first quarter with a retail sales growth of 3.1% and like-for-like sales growth were very similar at 2%. Both numbers clearly above the market, which primarily was driven by increased volumes from a higher number of customer visits. Total net sales for Hemköp increased 5.1%. Operating profit amounted to SEK 94 million, and the operating margin was 4.6%. The margin was somewhat lower than in the prior year. However, it was still a very good level in the -- compared to the recent year. While higher sales volumes had a positive impact on earnings, a somewhat lower gross margin impacted negatively. There were also some effects related to new establishments. Turning to Page 12. With City Gross, Axfood has established a presence in the hypermarkets, an attractive segment that over time has become a larger share of the Swedish food retail market. City Gross has faced some challenges in the recent years and the trend in the first quarter was also weak. On a like-for-like basis compared to the year earlier when Axfood was not the full owner of City Gross, retail sales were down 3.3%. In total, retail sales decreased 3.8%, mainly due to volume declines and the closure of one store. The adjusted operating profit was negative and amounted to minus SEK 80 million, mainly explained by the weak growth in like-for-like sales. Items affecting comparability pertain to structural costs, including costs related to closing the store in Bromma in Stockholm, ahead of concept change to Willys. And the adjusted operating margin was minus 3.9%. We are now on Page 13. As previously communicated, this year will be a transitional year for City Gross and the initiatives that we are now implementing will take time to yield results. We maintain a high activity level to strengthen the chain by revitalizing the concept and brand, improving the customer offering, implementing a chain management structure and streamlining operations. A new communications concept and a stronger more affordable customer offering were recently launched. We are also implementing structural measures, including conversions to the stores in Borlänge and Bromma to Willys stores. And given our experience, expertise and capacity, we see considerable opportunities to turn City Gross into a profitable company at some point in the second half of 2026. Turning to Page 14. In the restaurant and cafe segment, Snabbgross continued to deliver strong growth of 5.2% despite the continued weak market. Sales were up 4.1% on a like-for-like basis. A higher number of customer visits had a positive impact on sales. Unlike the food retail market, the overall calendar effect did not impact the outcome since the negative effect of the leap day in the preceding year is deemed to have been offset by a positive calendar effect related to Easter. Operating profit was basically in line with the prior year and amounted to SEK 25 million, corresponding to an operating margin of 2%. While increased sales and stable gross margin trend had a positive effect on earnings, new store establishment and investment in expanding Snabbgross Club negatively impacted the earnings trend. Moving on to Page 15 on Dagab. Dagab's net sales increased by 3.5% with sales to Willys, Hemköp and Snabbgross driving the increase in the quarter. Operating profit increased to SEK 287 million, and the operating margin was slightly higher at 1.5%. The earnings trend was primarily due to the positive sales growth. The gross margin declined slightly, which was partly offset by lower costs as a result of the progress made in the logistics restructuring. Let's go to Page 16. During the quarter, the implementation of e-commerce flows at the logistics center in Bålsta was completed, marking the end of the ramp-up for the facility. Productivity and efficiency improved during the quarter, thanks to a focus of optimization. And from the second quarter of 2025, previously announced efficiency improvements of SEK 200 million to SEK 300 million on an annual basis are expected to be realized, contributing to a continued cost savings and improving Axfood's competitiveness. In addition to investments in Bålsta, the expansion of the High bay warehouse in Backa, Gothenburg, and the optimization of the fruit and vegetable warehouse in Landskrona are in their final phases to increase capacity and streamline operations. We are now on Page 17. In recent years, we have been very strong -- we have had a very strong growth in Dagab through organic volume developments and expansions, including the acquisition of Bergendahls Food. With the logistics center in Bålsta, we have secured capacity and efficiency to handle volumes in the middle and northern parts of Sweden. Now and naturally, we are planning for the next steps in the development of our logistics structure to create additional capacity and efficiency also in the southern parts of Sweden and from the year 2030 and onwards. The plan is to establish a new automated logistics center in the Gothenburg region, but first and foremost, will replace our existing warehouse in Backa. However, we are also analyzing how to handle volumes among the other warehouses in the Southern Sweden. These initiatives will create a modern and highly efficient infrastructure to secure capacity and growth and contribute to strengthening our competitiveness. While it's still early days, we will provide more details in the coming quarters and initiate negotiations with relevant parties and stakeholders. Turning to Page 18. Now it's time for Anders to walk you through the financials development. So please go to the next page, number 19. And Anders, please go ahead.
Anders Lexmon: Thank you, Simone. So we are now on Page 19. In the first quarter, cash flow from operating activities was SEK 463 million lower compared to the prior year. The relatively weak cash flow from operating activities compared to last year was mainly due to a strong working capital performance last year, which was boosted by accounts payable related to Easter. The cash flow from investment activities was minus SEK 400 million. slightly lower compared to last year. We saw a lower pace in warehouse investments, but a higher pace in store modernizations. The cash flow from financing activities was in line with last year. The higher dividend and amortization of leasehold debt was offset by a higher usage of credit facilities. So then please turn to Page number 20. The net debt has increased during the last 2 quarters due to the acquisition of City Gross. In addition to the loans raised for the acquisition, net debt also increased with the City Gross leasehold debt of approximately SEK 2 billion and the dividend paid out in Q1. This is also reflected in the higher net debt ratio. At the end of the first quarter, we utilized approximately SEK 3.3 billion of our credit facilities, approximately SEK 2.5 billion more than in the first quarter last year and SEK 400 million more than in Q4. The equity ratio was lower than December 2024 and amounted to 16.8%. The lower equity ratio compared to Q1 last year was a result of the City Gross acquisition. The decrease in the first quarter was in line with previous years and is also seasonal effect from dividend paid. The total investments, excluding leasehold and acquisition for the first quarter amounted to SEK 373 million. During the first quarter, we established 2 new Group-owned stores. In Q1 last year, we didn't establish any stores. So then please turn page to Page number 21. Looking at capital efficiency, we had a negative development of the rolling 12-month net working capital. The impact of the City Gross acquisition is expected to increase the KPI with approximately 0.3 percentage points on a rolling 12-month basis. We also saw a negative effect from the last year all-time high accounts payable balance in March. Capital employed has increased over the last years, mainly due to both the acquisition of Bergendahls Food and City Gross as well as the investments in Bålsta. The level of capital employed, however, decreased in Q1, mainly as a result of the dividend. Due to the decrease in capital employed, the return on capital employed increased somewhat to 16.8% compared to last year. And thereby, Simone, I'm done with my part. So I hand over to you again.
Simone Margulies: Thank you, Anders. We are now on Page 22, but let us go straight to Page 23. Our outlook for the year is unchanged, and it covers investments, new store establishments and items affecting comparability. With regards to new establishments, we opened up 2 new group-owned stores in the quarter, of which 1 Willys and 1 Willys Hemma. So please now turn to Page 24. Every other year, Axfood holds a Capital Markets Day to provide more information about the group's operation and development. And this year, it's time again. So I encourage you to mark September 18 in your calendars. We will, of course, cover many areas at the event, areas that are important for our group to drive profitable and sustainable growth over a long term. More details around the CMD will follow in due time. We are now on Page 25 and the last page of today's presentation. We summarize the quarter in which we increased market shares and strengthened market positions with a continued positive volume development from strong customer traffic and loyalty. We maintained a high activity level to strengthen City Gross's competitiveness. And in logistics, we finalized the ramp-up of Bålsta as well as initiated plans for new steps in the development of the logistics structure. We see major opportunities ahead to further challenge and benefit from our long-term initiatives. Now please turn to Page 26, and I hand over to the operator to open up for the line for questions. Thank you.
Operator: [Operator Instructions] The next question comes from Magnus Råman from Kepler Cheuvreux.
Magnus Råman : Yes, it's Magnus Råman here. I'd like to ask about the annual efficiencies. You mentioned here that you expect to achieve these SEK 200 million to SEK 300 million annual efficiencies starting already now from Q2 this year. However, if I got it right, the parallel warehousing costs will continue to some extent all through to H1 2026. So could you confirm if that's correct? And then I guess that we will see some additional boost to savings from H1 '26?
Simone Margulies: The warehouses that we will keep to 2026 is Skellefteå and Sätra. These are really small warehouses, to be honest. The large warehouse that we had was Jordbro, of course, which was the main part. And then we have also closed now Västra, which is comparable, pretty small also, but that's where we had our e-com that we have now moved to Bålsta. So that's actually why we also said the SEK 200 million to SEK 300 million will be realized from the second quarter going onwards. And both Sätra and Skellefteå are really smart, handling some volumes for the convenience market. So they will be moved to Örebro. That will be positive, but I mean, it's not material, though.
Magnus Råman : Right. So in the range of 0 to 50 or something like that, would that be a fair assumption?
Simone Margulies: Sorry, could you take the question? I didn't really understand.
Magnus Råman : Yes, yes, a range of SEK 0 million to SEK 50 million savings when those smaller warehouses will eventually be finally closed. Is that -- would that be a fair assumption?
Simone Margulies: I wouldn't give any, how to say, forecast on that because it's really not material. We stick to SEK 200 million to SEK 300 million. That's a range that will cover that also.
Magnus Råman : Sure. Fair enough. Then on City Gross, I guess it's apparent that the sort of the path to profitability here goes to improving the like-for-like sales. And when thinking about that and trying to sort of figure out the trajectory here in terms of margins towards your breakeven point that you see in the second half of '26. Should we expect that you would sort of push price, promotional investments and so on in the near-term quarters to improve like-for-like sales to track traffic and so on. So that a dip and then later a clear rise in margin towards breakeven is a more likely path? Or do you rather see it would be a gradual sort of improvement along the way?
Simone Margulies: We have, I would say, an extensive program going on for City Gross, covering operational efficiencies, new brand promise, a new, I would say, store concept, customer offering. We will also improve the price worthiness in City Gross. And all these initiatives are going in parallel. And that's also -- that we also earlier communicated that 2025 will be a year -- a transitional year. And so I would say like 2025 will be a transitional year that we have earlier communicated and going for profitability in the second half of 2026.
Magnus Råman : Right. But you wouldn't care to comment about the sort of the loss in Q1, if that's sort of a low point or...
Simone Margulies: I can communicate. The SEK 80 million is in line with last year. So it's -- the last year, we were not fully owner of City Gross, but it's actually in line with last year.
Magnus Råman : Right. Okay. And then a final one maybe on the -- you mentioned here how the food price inflation has been picking up now in the recent 2 months after having been quite stable for 12 preceding months or so, 2% or lower percent. Now looking ahead, do you see that the stronger Swedish krona could sort of alleviate this food price inflation and possibly help with the product margin recovery in Swedish grocery retail? Or how do you view it?
Simone Margulies: There's a really wide range of things that are affecting the prices in the market. As you said, the Swedish krona is a positive thing. But however, we also have a turbulent geopolitical environment going the last years, and it's not -- we don't see any measures of going in a more positive direction. We have also the climate changes. We're also depending a lot -- I don't know if you notice, it's pretty dry out there, and that will affect the prices also. So as you say, the currency is a positive thing for us, talking regarding prices. However, there are so many different things that is affecting the price development. So I couldn't give you any actual forecast going forward.
Magnus Råman : Sure. I just have one for -- maybe it's for Anders, I don't know also about the new DC here. Firstly, if I can ask just, is the aim to open operation in 2030? And then when we think about the CapEx profile here, do you think that sort of the CapEx for Bålsta would be a good rough indicator? Or do you see that this site will be clearly smaller or clearly different somehow?
Anders Lexmon: Magnus, that is things that we have to come back to when we have clear plans on that. And like Simone said earlier, now we have communicated that we are looking into it, and we have to -- we will come back to that when we are more clear on that, the figures related to CapEx, among other things.
Magnus Råman : Sure. But just overall basis, Southern Sweden, should we deem that to be sort of roughly half of your national volumes? Or is it a material difference?
Anders Lexmon: No, it's a fair assumption, I would say.
Operator: The next question comes from Fredrik Ivarsson from ABG.
Fredrik Ivarsson : Three questions. First, you mentioned the negative effect of Easter being late this year a couple of times in the presentation. Just curious to hear whether you might have any assessment of the earnings impact of this in Q1?
Simone Margulies: Yes. As you said, Easter, we had calendar effect due to Easter and also the leap day and Easter is coming, as you all know, in April. And as you say, the calendar effects, of course, we have that on top line, but also on the bottom line. So you could -- we also see effects of the calendar effect in the EBIT.
Fredrik Ivarsson : And do you have any rough assessment of that earnings impact?
Simone Margulies: I think they correlate, I should say. They are connected to each other, as you know.
Fredrik Ivarsson : Okay. Fair. Second one on Willys. The margin here was stable year-on-year, and you call out the stable gross margin in the report as well. And then 6 months ago, we remember the margin in Willys being down 1 percentage point, and that was obviously due to those price investments you made back then. So what have you done to sort of restore the gross margin in Willys because I guess the price levels obviously aren't down currently.
Simone Margulies: First of all, as we communicated last quarter and the quarter before that, the way we look upon on how to create a long-term sustainable profitability and growth is by driving customer traffic, loyalty and also volumes. And that is actually what you see in Willys. We have a good growth of customers. We have a good increase in loyalty and also good volume increases. But then also there are, of course, many other factors that are impacting the gross margin such as the customer mix, the campaign mix, the sales mix. So it's -- there are many factors that are impacting the gross margin and also the -- what you -- comparison. But of course, Willys have a strong momentum. And as we talked to you last quarters, for us, we will never give up the price promised in Willys as Sweden's cheapest bag of groceries. And that's really key in the market position and the customer promise that we have in Willys. And that's how we also create long-term profitability to have -- to be correct in the price position, drive volumes and customers to our stores.
Fredrik Ivarsson : Okay. That's clear. And last one from my side. You say that you expect the efficiency gains of SEK 200 million to SEK 300 million in Bålsta to run through from Q2. Do you have a sort of approximate run rate number as of Q1? So where were you this quarterly report?
Simone Margulies: Do you mean run rate in the efficiency gains, you mean?
Fredrik Ivarsson : Yes.
Simone Margulies: Yes. We see a gradual improvement in Bålsta. And you see also the development in Dagab, that's due to both the good growth in Dagab, but also increased productivity. So we will gradually see the improvement. In the Q1, we still have some extra costs due to the e-com implementation in Bålsta. So that we are now, I would say, optimizing, and that's why we also feel pretty sure about the efficiency gains going on forward. So you see both the profitability improvements in Dagab for the first quarter, but also we have some extra costs due to e-com up ramp.
Fredrik Ivarsson : Okay. So it sounds like the sort of sequential improvements will be fairly significant in Q2.
Simone Margulies: Yes. I would explain -- I would say, we see the operating -- I would say, the operating from the store logistics, we see a very good improvement, and we will continue to see gradual improvements also in that parts. And then we had some extra costs due to the e-com up ramp during the first quarter.
Operator: The next question comes from Daniel Schmidt from Danske.
Daniel Schmidt : A couple of questions from me. Just coming back to the stability of the gross margin in Willys in the quarter, which you referred to also a couple of quarters ago, you started to be more aggressive on price investments and that hit the profitability. Now you see stability in the gross margin. At the same time, you're also writing that Dagab's gross margin is slightly down. Is there any change to sort of the purchasing costs between Willys and Dagab in the quarter? Is that affecting sort of the gross margin of Willys in any way or hurting the Dagab gross margin? Or is that due to other factors?
Simone Margulies: Yes. We have fixed business models. We do not change like quarterly like that. So what you see in Dagab is also an effect of product mix that could -- that affects Dagab's margin. So that could also vary quarter-by-quarter depending on seasonal effects. Now we have had Easter that's affecting the product mix, et cetera. So the margin in Dagab could differ because of the product mix that they have and what they're selling.
Daniel Schmidt : Yes. You said we had Easter -- we didn't have Easter, you mean. Isn't that usually good for profitability? Isn't Easter from a gross margin perspective, negative, although it's good for sales, of course.
Simone Margulies: As margin always, it depends on the campaigns. It depends on the product mix. It also depends on weather actually. So it's a mixture between -- and also it depends on actually the calendar effect. It could also make impact on the margins if we have nice weather or not or if it's in April or March. So it's not like it looks, I'd say, the same all year.
Daniel Schmidt : No. Okay. And then just maybe a follow-up on City Gross. And you're saying that you're introducing a more affordable customer offering from the end of April. Do you expect that to initially have a negative effect on profitability until you get sort of the gradual change of perception? Or is that not a meaningful impact? How big is that investment simply?
Simone Margulies: We are doing -- as we said, we have an intense program in City Gross working with different stream parallel, both the customer offering, the campaigns, the price worthiness, the brand. And all in all, we -- they are to secure a good and, I would say, profitable core in City Gross over time, as we told by the second half of 2026. And for that to do investing in the price worthiness, I would say, in City Gross, it's really important to be able to attract and create an attractive customer offering.
Daniel Schmidt : And do you have any sort of plan or sense of how long that investment needs to be before you start to see sort of a positive impact on demand?
Simone Margulies: It's always about both strategic and tactical how we will carry out those investments. They have different purposes, both driving traffic, but also driving volumes. So that will depend. And we will -- as we told before, 2025 would be a transitional year, and we are going for profitability in the second half of 2026.
Daniel Schmidt : Yes. And maybe just a last question. You are streamlining support functions. I think you mentioned cutting 60 people. Could you say when and how much this will affect the cost base and what sort of in terms of cost out, of course, maybe for severance packages, but also savings long term?
Simone Margulies: It's too early actually to say anything about that. We -- today, we have made the notes of terminations, and we are, at this time, negotiating the new organization structure with the unions. So we will have to come back to that when we know actually.
Daniel Schmidt : But you think this will be clarified before the summer?
Simone Margulies: It's too early actually to say that. But obviously, the aim of what we're doing this is to actually accelerate the Axfood model where we have different formats and brands meeting the customer and working in the back end to be as efficient as possible to create synergies. And here, we see potential to strengthen how we collaborate both within and between our different companies in the group to increase the productivity, but also to get -- improve our customer meeting actually.
Daniel Schmidt : Okay. Could I just follow up on that? Is this aimed more towards City Gross organization? Or is it across the board?
Simone Margulies: It's across the company, across the entire group. So it's -- we're looking into the function, HR, economy, communication, sustainability across all our businesses.
Operator: The next question comes from Gustav Hagéus from SEB.
Gustav Hagéus : Some follow-ups. Just -- could you just -- so that I got it right. Is it correct that there is no correlation between the stabilization of gross margin in Willys and the lower gross margin in Dagab, that's what you're saying?
Simone Margulies: Yes, I could say -- no, there is no correlation.
Gustav Hagéus : Okay. Okay. That's clear. And then -- when you think -- I understand that there's a lot of moving parts in your idea how to turn around the City Gross. But just -- well, before that, SEK 80 million losses now in Q1, is it still your view that you're more in a run rate of SEK 200 million losses for the year rather than the -- what extrapolated number would be closer to SEK 300 million for the full year?
Simone Margulies: No, no, no, exactly as you said, SEK 80 million is in line with last year's first quarter. And then you should also know that last year, we had Easter. And the hypermarket segments are a little bit more affected by the Easter than we are traditionally used in discounter and the traditional food market. So last year, they had the same profitability. The SEK 80 million are in line with that. And then we had -- and this year, we have a calendar effect on top of that. So no, we don't see any SEK 300 million.
Gustav Hagéus : Could it even be so that you break -- closer to breaking even then City Gross in Q2 to get the bridge together to like SEK 200 million for the year?
Simone Margulies: As I said, 2025 will be a transitional year, and we are going on the second half of 2026 to reach profitability. I mean, for us, it's -- now it's all about creating a really strong core, create an attractive and a modern store concept to take up the competition in the hypermarket segments with ICA Maxi and Stora Coop. And we are building this from on a very -- on a strong basis and a platform to then grow from.
Gustav Hagéus : Sure. And -- but could you please help us a bit more granular in terms of the -- what the split is to reach breakeven for City Gross? I understand you will not give me all the numbers, but let's say that store closures is one part, right? And then is there also one part that stems from more competitive procurement prices from Dagab that is part of this SEK 200 million bridge to reach breakeven? And how much is actually true organic contribution to the earnings in that region?
Simone Margulies: The majority for us now is to get growth in the like-for-like sales. Without growth in like-for-like sales, we will never be able to do this journey that we're on. So our focus in to create like-for-like sales and also focus on the cost. And that is why the implementation of a chain operational model in City Gross is really important to get really operational excellence in the operations. So strong focus on costs and also creating a really attractive customer offering and customer meeting that will create the like-for-like growth. And then Dagab's role is always to create and support all the brands in the best ways in their negotiations and the -- yes, both in having an attractive assortment, but also the right prices from our suppliers. And that consists for all our formats and customers.
Gustav Hagéus : Sure. But now that City Gross is a part of your fully-owned format, they will more likely be able to have a better negotiation point with Dagab than before. Is that how we should interpret it?
Simone Margulies: We're not negotiating between our formats and Dagab. We are, as you said, we're integrated and Dagab's role and purpose is to create a really efficient and attractive customer offering for all our chains, no matter if it's Willys, Hemköp, City Gross or for our external customers.
Operator: The next question comes from Rob Joyce from BNP Paribas Exane.
Rob Joyce : Just sorry if I missed it, but would you just help me understand what's the difference we're seeing at Willys this quarter versus the third quarter of last year in terms of that margin performance?
Simone Margulies: Yes. It comes back to having a good like-for-like growth, but also as we say, how to optimize, I would say, sales mix, campaign mix, price mix, good cost control, good operational excellence. But the major part is actually, as we said, we create long-term sustainable growth and profitability by driving customers to our stores, improving loyalty and also drive volumes.
Rob Joyce : Okay. Was that very different in 3Q last year? I guess I'm trying to work out what to think about for the rest of this year and going forward. Is this year now a year of margin improvement at Willys given the easier comp? Or is there something specific in this quarter we need to think about that won't be repeated in coming quarters?
Simone Margulies: On one hand, we don't give any forecast on our margin or growth. But on the other hand, the last quarter last year, we also communicated that it was lower than we are used to.
Rob Joyce : Okay. Okay. So we think of last year as more anomalous than this year?
Simone Margulies: For us, as we communicated last quarter, it's always about driving long-term growth and profitability. And if that means that we, like the third quarter last year, had to invest in 1 quarter in price, then to secure the price position, that will always be key for us to keep our promise to our customers.
Rob Joyce : Okay. So would you say competition is a little -- has got easier in the first quarter of this year? Has it eased off on a relative basis?
Simone Margulies: No, we still have a really high competition in our market. But as you said, it depends on market dynamics, but we still have a really high competition in the market during the first quarter from all our competitors, I would say.
Rob Joyce : Okay. Understood. And then just on City Gross, just a few questions if you could help me understand. Two quick ones. Firstly, sorry if I missed it, but what -- you referenced the first quarter losses last year. What were total losses at City Gross last year, please?
Simone Margulies: It was in line with this year.
Rob Joyce : But it was full year -- not for the full year '24?
Simone Margulies: That's full year -- full year, sorry, SEK 200 million. Around SEK 200 million minus.
Rob Joyce : And historically, where is City Gross? What's the kind of high level of profitability? What was it making in its sort of heyday or last 5-year peak?
Simone Margulies: Around 2%.
Rob Joyce : 2%. Okay. And final one, just in terms of the price cuts you're doing, what do you think that will improve the average basket by?
Simone Margulies: For us, it's important to have a good price -- to be price valuable in City Gross, and we create that, of course, with prices, but it's also about having attractive campaigns and store formats and also sales optimizations. So for us, it's key to build a price worthiness now in City Gross that actually was a little bit lost during the last years, and we have to come back to that. To be an attractive hypermarket actor, we have to have a good price perception of price value.
Rob Joyce : Okay. And what are you looking to improve that by, just roughly to give an idea of the sort of movement in that metric you're looking for?
Simone Margulies: Sorry, could you repeat that? I didn't hear, sorry.
Rob Joyce : I was going to say, is there a level we can think about how much you're looking to improve that by?
Simone Margulies: You mean the buy from the customers?
Rob Joyce : The price value, if there's an index, we should be thinking about?
Simone Margulies: Yes, yes, but that's an important thing. I mean, to bring back the customers and drive loyalty and volumes, it's important to drive the like growth. And this is key to be able to start to grow like-for-like to win back the customers and create, have a strong loyalty. So it's key for us to strengthen the price perception in City Gross. And I mean, we had -- we talked during the autumn when we decided to invest also and to secure the price position in Willys, we explained that this is really key, and we've seen actors, both in Sweden and in other markets that lost their price position and how that has become an expensive and long-term way back. And that's actually what we are seeing here now in City Gross. So we have to gain back our customers. And by that, price worthiness is really important. And that's also why we are focusing on operational excellence in the store and cutting costs, so we can invest in our customer meeting instead.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Simone Margulies: So thank you very much for joining us today. I look forward to meet you next quarter, but also on our Capital Market Day in September. So have a nice day.